Operator: Good morning, and welcome to General Mills' Fourth Quarter Fiscal 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Jeff Siemon, Vice President of Investor Relations and Corporate Finance. Please go ahead.
Jeff Siemon: Thank you, Julienne, and good morning to everyone. Thanks for joining us today for our Q&A session on our fourth quarter fiscal '25 results. I hope everyone had time to review our press release, listen to our prepared remarks and view our presentation materials, which we made available this morning on our Investor Relations website. Please note that in this morning's Q&A session, we may make forward-looking statements that are based on management's current views and assumptions. Please refer to this morning's press release for factors that could impact forward-looking statements and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here today with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Dana McNabb, Group President of North America Retail and North America Pet. Before we open for questions, I'm going to hand it over to Jeff Harmening for a few opening remarks.
Jeffrey Harmening: Yes. Thanks, Jeff. And I thought I'd start this morning, there's a lot going on up and down our P&L within our business and then certainly a lot going on in the broader world. So I thought I'd just take a couple of minutes to summarize what we're trying to accomplish. The first and most important thing is really returning to volume growth, specifically in NAR, and we're really encouraged by what we've seen. We started to invest in value in Q3 of last year with Pillsbury and Totino's topped by really good advertising. And we like the results of that so much that we decided that we'd expand the value of investments we made in soup and cereal and fruit snacks in the fourth quarter. And we saw the results there that we expected. And so as we go into this year, we're kind of just continuing the formula that we had in the fourth quarter, which is we said to expand some of the value investments on targeted businesses that we saw, but also, really importantly, backing that up by a significant consumer news. In fact, I think our new product news and our core renovation news is the best that I have seen since I've been a CEO. And we use our remarkable experience framework. We talked a lot about these in our prepared remarks. Certainly, our launch into fresh pet food, all the protein innovation we've seen the NAR portfolio, renovating Häagen-Dazs stick bars and so forth gives us confidence that we can get our business back to the kind of growth we're looking for. Importantly, as we're doing all this work in NAR, we did see share growth in our international businesses this past year as well as foodservice and health care and pet. And so that gives us a lot of confidence. We're backing up all of this investment with record levels of holistic margin management and also productivity initiatives. So we're not sitting still on that front. But we know that it's an investment year, but we're very confident that these investments will pay off given what we've seen over the last couple of quarters. So with that, let's open the floor to questions.
Jeff Siemon: Great. Julienne, you can go ahead.
Operator: [Operator Instructions] Our first question comes from Ken Goldman from JPMorgan.
Kenneth Goldman: It's certainly exciting to see Blue go national from a refrigerated standpoint. One of the things you had talked about previously in the past, to paraphrase is you were always, I think, confident in the revenue opportunity. It was a little more on the margin and cash story that was less tested. So I'm trying to get a better sense, if possible, if something has changed or you've learned a little bit more about the margin potential there. And then as the corollary to that, just trying to get a little bit of sense for your merchandising strategy for that, just given the obviously limited shelf space for that particular category.
Jeffrey Harmening: Yes. So let me talk a little bit about this is, Jeff. Let me talk a little bit about the past. And Dana, if you have any follow-on comments to follow on a little bit about our marketing plans. But the -- we're very excited about this launch, this big national launch. We learned a couple of important things within our last test market. One was that the Blue Buffalo brand really resonated. The second, we can make great products. So our repeat rates were really good. I mean, we had dogs standing in front of refrigerators because they were so excited to eat this stuff. So we know that, that works. What we didn't -- because we launched regionally, we really didn't have the scale to market the way we need it to, to generate trial. And so as we go into this national launch, this gives us the opportunity to launch at scale. You asked about the financials. We have learned a lot, and it's been many years since we tried that test. And we've actually been studying the market ever since. And one of the things we've grown quite a bit more comfortable with is that, over time, I mean, this investment will take a couple of years in generating trial. That's the most important job to do. But having done that and achieve this scale, we are confident that we can build a profitable and growing business. If we weren't, we wouldn't get involved in this endeavor. But it will take a little bit of investment, but we believe that we have the right activities to do it. Dana, do you want to give any insights into that?
Dana McNabb: Yes. Well, as you said, the learning really helped us to build a stronger consumer proposition, and we really think that we have a path to an attractive financial model for a fresh business at scale. What we are coming with is launching Love Made Fresh nationally. It will be in all 50 states. We have a wide variety of formats and flavors to drive appeal, and these formats have been designed for maximum flexibility. And why that's important is we know that 80% of pet parents who fresh, they use it with other food formats. So they'll top it, they'll mix it. They'll sometimes use it on its our own. And then 55% of those users, they want to use kibble and fresh from the same brand. So we're really confident that Blue Buffalo has the right to win here, that we've got a unique proposition. As Jeff said, we have improved our go-to-market approach, and we're committed to investing in building quality trial and awareness. We have had really strong reception from retailers. And as we come to market, we're going to be the biggest pet brand that's across dry, across wet, treats and fresh. So we're still early days, but we're excited to share more about this launch as we get closer to the date.
Operator: Our next question comes from Andrew Lazar from Barclays.
Andrew Lazar: Great. Jeff, I think the level of reinvestment plan for fiscal '26 is certainly deeper, right, than most than anticipated. And I understand the organic top line growth priority and the investment behind fresh. My question is, how do you ensure that the margin profile that comes with this reinvestment is being done in a sort of responsible way, rather than giving up too much margin that may be tougher to ultimately rebuild? I guess, are there certain aspects of the reinvestment that maybe you see as one-off or temporary in nature that give you confidence that you can rebuild this margin in a reasonable time frame versus being maybe at a structurally lower level sort of going forward, if you will?
Kofi Bruce: Sure. Andrew, this is Kofi, and thanks for the question. Let me give you just a few thoughts. I think we see a few of the factors. There's certainly a lot going on underneath the hood, and we provided -- firm on that detail in the prepared remarks. But underneath the hood, there are a couple of factors that we would see as maybe more temporary in nature. First is, as Jeff alluded to, the fresh investment, while a multiyear investment, we would expect that once we build scale and we'll be at a point of profitability and return on that investment. Second, as we think about the nature of tariffs, we expect to be able to mitigate some of the effects of tariffs, but not all within the year. So that will put a little bit of drag from a timing perspective. But again, not something that we see as structural necessarily long term. And then third, just a reminder that on the divestiture of Yoplait, we expect there to be a little bit of a stranded cost drag as we are getting at some of the costs and eliminating some of those costs this year, but we'll have a tail end in fiscal '27. So those are the factors that I think are important to take in, even as you measure what is an important and significant investment behind getting growth restarted.
Operator: Our next question comes from Q - Peter Galbo from Bank of America.
Peter Galbo: Maybe just a quick clarification and then a question. Kofi, I think on Pet specifically in Q4, you talked about the inventory build at retail that you're expecting to reverse. So is that a full reversal in Q1? I just want to kind of understand the magnitude there. And then, Jeff, like, there's been obviously a lot of lumpiness, I think, in the reported figures on Pet. So maybe you can just give us a broader sense from your prepared remarks on just the state of underlying Pet and how you're thinking about the different verticals within that just, again, given some of the lumpiness that we've seen quarter-to-quarter.
Jeffrey Harmening: Yes. Thanks for the question. You asked Kofi the first one and me the second, but I'm going to take one for the team here and answer both of those. The -- as we look at inventory levels, first, our inventory levels in Pet are in good place, kind of broadly speaking. As we look throughout all of last year, there was relatively any -- very little movement as you look across here in our levels of inventory at retail for our Pet Food business. Our Pet Food business since we bought it has really had a lot more lumpiness, as your term, and the levels of retail inventory, and that's really largely due to the fact that it has a high proportion of e-commerce sales, which tend to be more volatile than to things going through grocery stores and mass merchants and so forth. And so I would expect that the lumpiness quarter-to-quarter will continue. And to the extent we will reverse in the next quarter or not, maybe. And we just want to be transparent about last quarter and that we saw 3 points of inventory build last quarter as we head into this quarter. And whether that will dissipate at the end of this quarter or not, we'll see. One thing I have decided to do is to not predict what's going to happen with Pet inventory from quarter-to-quarter, having been fooled a couple of times. So it's a fair question, but I want you to know there's -- our inventory is in a good place, both on our Retail business, our Human Food business and our Pet Food business. And there's always going to be some level of variability as we go quarter-to-quarter.
Peter Galbo: Great. Jeff, and just anything on the underlying Pet kind of performance, how you're...
Jeffrey Harmening: Yes, sorry. I get so excited about that answer, yes. The -- what -- I'm really encouraged that we got our Pet business back to stability. And we grew it a little bit this past year, and our share held. And some of the things we've done have really worked well. Like, the advertising on Life Protection Formula has worked well. Our Cat business is back to mid-single-digit growth. And the cat population is growing, so that's important. We've integrated Tiki Cat effectively, and that's growing well. Edgard & Cooper is growing well in Europe. We're bringing back that to the U.S. So we have a lot of things that are working really well. I think, pointed in the right direction, our marketing is quite good in the Pet Food business now. There's some things we still have to work on. Wilderness improved, but it's not all the way back to bright. And certainly, our Treats business would be the same. But I like the direction of travel of our Pet Food business, even without this launch of Fresh Pet Food. And it's important because our goal this year is to grow the core of our Blue Buffalo business and add this new fresh launch on top of that. And we're encouraged by what we see. There's still more work to do. But we've gone from a business that had declined the prior year to one that we grew a little bit. And now we're looking to build on the successes and continue to work on the things that aren't working exactly the way that we had thought.
Operator: Our next question comes from Q - Peter Grom from UBS.
Peter Grom: I was just hoping to get an understanding on just kind of the organic revenue phasing for the year, just in the context of the down 1% to plus 1% and kind of starting off, I think, in kind of this down 3% range. So just curious how you're thinking about the phasing of growth as we move through the year. And I guess, specifically, do you expect to see a return to growth at some point in time? And then just related in the prepared remarks, you outlined an expectation for category growth to be similar. And not to get too specific, are you simply assuming what we're seeing today continues? Or do you expect to see some sequential improvement, but where you win for the year ultimately is similar to what we saw in '25?
Kofi Bruce: Yes. So I think it's important to note that as we exit this year, we had about 2 points of trade expense phasing in our organic sales number as we exit the quarter. So as you think about kind of the setup for next year, we will have trade expense phasing comps as we work our way through the first half of the year. And obviously, as we've made investments in the second half of this year, those comps will ease. So I would expect that to be reflected in the progression of our top line. So I think that's a critical point. And then the second is, as we think about categories, we are laser-focused on what we can control, which is our competitiveness. So we're not counting on a significant rebound in categories as we work our way through the year.
Operator: Our next question comes from Chris Carey from Wells Fargo.
Christopher Carey: I think kind of a holistic question and more of a quantitative follow-up. From a more holistic side, you're probably the most intentional when it comes to pricing reinvestments in the space. And I think it's really a couple of questions related to that. First, what are you seeing from a competitive response to some of these early actions? And then secondly, how do you ensure that this isn't a race to the bottom with branded competitors or private label? And then the more quantitative question is, in the context of really strong HMM, 5%, you've got the incremental $100 million of savings, but obviously, like substantial pricing reinvestments. Can you just frame kind of like gross margins versus SG&A, how you see those line up -- stacking up through the year?
Jeffrey Harmening: Let me take the first part of that question. And then when it comes to margin versus SG&A, I'll pass it on to Kofi, and he can tackle that. On the pricing, it's a really good question, and I appreciate it. The things -- I think there are a couple of things to keep in mind is that the first is that even in the fourth quarter, as we looked at our price/mix, it was down 3% in North America Retail and down 1% as an enterprise. And we talk about pricing actions. And was it going to be race to the bottom? It's not going to be a race to the bottom. And the order of magnitude is about that much. We're also investing a lot in advertising this coming year on new products and all the rest. So it's not just about pricing. It's about investment and making sure that we get trial on all of our good marketing initiatives. The other is that in every category, it is not as if we are leading pricing actions down across the board. We're taking targeting actions in specific categories. I've talked about this before, but just to really give another example. For example, in Pet Food, we were over a price cliff on our wet pet food, and we got under that price cliff back in line with competition. And -- but we didn't have any pricing action on Life Protection Formula because that was in a good place. The -- and the same with our Cat Food business. And so as you -- as we look across our categories, the axis really are targeted to specific items, specific areas and specific categories and, really, just to get us back in the zone of where our marketing is going to be effective. And so our brands are generally premium brands, and they should be because we've got great brands. But the marketing works really well when the price is kind of in the zone. And kind of getting that in the zone is the first step. But even more important than that really is that once having done that, how good is our marketing, how good are our new products, how good is our core news, and that's what we're really excited about because it's that combination of getting the pricing in, but then also making sure that your marketing is great on top of that, that's going to lead to better outcome. And we saw that with Pillsbury. We saw that with Totino's. We're confident we'll see that with many of our other businesses as we head into this year. In fact, we already have. I mean, if you look at North America Retail, it's just -- we're just 3 weeks into the year, but I think about 80% of our North America Retail business is gaining pound share already in this quarter.
Kofi Bruce: And then on your question on SG&A, we would expect SG&A to grow a little faster than our top line as a result of reinvestment, a portion of the reinvestment going back into increased media behind our fresh pet launch and certainly behind our brands and innovation in North America Retail. In addition, just as a reminder, the incentive reset will be a big drag as you look at the corporate unallocated line in SG&A. So those factors will be the primary drivers of the increase.
Jeff Siemon: I'll just add. This is A - Jeff Siemon. I had one clarification. As Jeff said, our price/mix in the quarter North America Retail and Nielsen was down about 3 points. And for the quarter at the company level, excluding the trade timing, price/mix was down 1%. So I think that was the point, down 3% in total, 2% of that was trade timing. So excluding trade timing, price/mix was down about 1% in the quarter.
Operator: Our next question comes from Q - Robert Moskow from TD Cowen.
Robert Moskow: Jeff, I wanted to know if you think pricing can get back into positive territory at some point during the course of the year. It's hard to get the algorithm to work without having some pricing power to some degree. So maybe you could talk about your philosophy in that regard. And then secondly, I wanted to ask about the assumptions on how big the Fresh business can get in Pet. When you started working on this, the category was probably growing at around 25%, but our channel checks indicate that it's more like 12% to 13% now, including DTC. So does that have any impact on your expectations for how big this business can get longer term?
Jeffrey Harmening: Yes. So Rob, a couple of answers to those really, really important questions. Look, I'm about to tell you things I know that you already know because you've been doing this a long time as I have, but over the long term, to get an algorithm to work in the food space, what you need is about half your growth from volume and half your growth from pricing. I mean, you get pricing and mix and all that. So you need both of those things over time. There's a period of time when we saw record in -- there's a dog in the background. I'm sure thing he's being fed Blue Buffalo. He is probably asking for Blue Buffalo. The -- but if you look over time, you need a mix of price/mix and volume. We saw when we had record inflation for a period of about 3 years, all we had was pricing, and there was no volume. Now we're a little bit of a period where there's a lot more volume than there is price/mix given the consumer sentiment kind of where we are. But over time, those things seem to level out. So you're right. Over the course of time, to get the P&L to really work the way you want it to, you need a mix of pricing and you need a mix of price/mix and a little bit of volume as well. But this is a period where we're going to lean more on volume just as we did more on price/mix when we had record inflation a few years ago. And so you're right, but we're in a period of time where we know what we need to do. In terms of what comes next and tariffs and inflation, I mean, your guess is kind of as good as mine. I mean, what's going to happen without -- we're not really sure. I mean, all of our options are still open as to how we deal with the inflation we see in front of us. If inflation continues to pick up, then, yes, we go to productivity, HMM and all those things, but we have a great strategic revenue management toolkit. And so we'll be very willing to work with that as well to the extent that we need to. And so -- but it's a pretty unpredictable environment right now. So we're not really sure how that's going to play out. But know that we're agile enough with enough of the capabilities to make that work. Your second question about Fresh Pet Food, you talked about the growth rates and how they've slowed to 12%, I might add, and how we think about that. The first, I would say, vis-a-vis where we started looking at Fresh Pet Food a few years ago, the category is like twice the size. So the pool of the -- or the pond in which we'll be fishing in will be about twice the size as it was a few years ago. So that would be the starting point, which gives us reason to believe that our fresh offering has a chance to be a really big offering. And growing 12% is nothing to sneeze at. And the continuation of humanization of pets is an ongoing trend. It's a 20-year trend. And it manifests itself in a lot of different ways versus how treating works, to wanting natural pet food, which Blue Buffalo serves, wanting fresh offerings, which we're about to get into. And so we're confident that this humanization of pet food is going to continue, especially because it's particularly relevant among Gen Z and millennial consumers. And so as they form households more and more and they buy pets, we're confident that this trend will continue.
Dana McNabb: And the only thing I'd add to that is that the Fresh segment is a $3 billion segment now. And our data indicates it will be $10 billion in 10 years. And so there's still significant growth in this segment to get. We believe Blue Buffalo has a right to win here, and it can help spur on that category growth.
Operator: Our next question comes from Q - David Palmer from Evercore ISI.
David Palmer: First, a quick one and a clarification off of a line in Slide #38. You said category growth below long-term expectations and similar to fiscal '25, reflecting lower price/mix. What was your category growth all in for fiscal '25? And I asked that because it looks like, lately, the category growth on a weighted basis for mills would be over 2% lately, just looking at the MULO+ data, which would be in line with your algo. So it looks like the -- hearteningly, the categories that you're in are doing pretty well. So just curious about what sort of category growth assumptions you are seeing.
Jeff Siemon: Dave, it's A - Jeff Siemon. Yes, that references our global growth exposure, kind of take our categories and geographies combined. And yes, in the U.S. human food, I'd say our categories are a little bit shy of maybe where we would expect our long-term growth to be, with volume in line and price/mix not quite maybe to the level that we would have expected normally based on our go-forward category mix. Pet category-wise is growing, but modestly less than what we would expect long term. Maybe it's about 1% today. We'd expect 3-plus percent long term. And then some of our international categories, China, in particular, and even Europe growing a bit less, China down, and Europe maybe a bit less than long term. So when you take that in aggregate, that was the remark about overall category growth across our enterprise being a bit below where we would expect long term, that 2% to 3% growth rate.
David Palmer: So if we were to kind of keep it simple and thinking about your business in terms of getting your sales trends in line or better than your categories, '26 versus '25, for all of us look -- trying to think about whether -- how you're thinking about the must get rights for this year, what categories and brands perhaps will get the most improved awards? What are going to be those? It looks like from your slides, you have a lot in snacks, Totino's, maybe even cereal. You mentioned Pets on firmer footing. But what are really going to be the must get rights from a total sales perspective that you're looking for improvement into '26?
Jeffrey Harmening: Yes. So let me take that. I'm kind of looking for improvement across the board, to be honest with you. The -- and I think we can get there because our marketing is better. Our new products are better. Our value is going to be in the right place. And I mean, we win when our biggest, most important categories get better. And so as you look across our global brands and our local gems, that's where we would expect to see the improvement. I mean, you can't really get the growth you're kind of looking at by growing your small businesses really well. You really need to grow your biggest, most important business as well. That's where I would expect to see improvement, but I would also expect it to see it broad-based. And I think we have the initiatives to back that up. And we're -- we feel good about the start of the year, and we'll see how it progresses. But so far, I would say that, importantly, what we have to do is grow in line with our categories. We think if we do our job right, we can hopefully get our categories to grow a little faster, but we're not counting on that. What we're counting on is just being more competitive within our categories. But because we're the leader in so many categories, to the extent that our marketing efforts really stick well, hopefully, we can drive a little bit more improvement in category growth as well, but we're not counting on that.
Operator: Our next question comes from Q - Scott Marks from Jefferies.
Scott Marks: I have 2 quick ones. The first, I guess, on the innovation front. I guess, we saw a lot of products that are putting protein front and center. So just wondering how those are performing thus far in kind of initial launches and markets where you're getting into. And then secondly, on the price investment front. We've heard some of your competitors speak to investing around key events and key seasons as opposed to more kind of steady-state investment. So just wondering how you're thinking about that and whether you see different consumer responses throughout the year at different points in time.
Dana McNabb: Yes. So I think from a new product standpoint or a news standpoint, you're absolutely right. Protein is a trend that people are really looking for right now. We see mid-single-digit growth across the grocery store from protein items. And while I'm biased, we make protein taste incredibly good. So what you're going to see in the plan coming this year is almost $100 million worth of ideas. We have really strong protein across most of our big categories. I'll use Cheerios Protein as an example. That's only been in the marketplace for 6 months and has far exceeded our expectations. So we are bringing new SKUs into the marketplace starting now. So we really believe that this is a trend that is here to stay and that we are well positioned to win with this trend. So that is how we're thinking about new products.
Scott Marks: And then price, steady state versus kind of seasonal.
Dana McNabb: Right. I mean, as Jeff has said, the plan for this year is really to make sure that we have really the right price value and a very strong news, innovation and advertising across the entire year. But we also know that when the consumer is struggling, parents won't sacrifice spending in the season. They want their families to have a good Halloween or a good Valentine. And so we will make sure that we are leveraging seasons where appropriate. We have about 50% more seasonal innovation in our plan this year. And I think that will be important to complement the innovation and news that we have throughout the entire 52 weeks.
Operator: Our next question comes from Max Gumport from BNP Paribas.
Max Andrew Gumport: You're clearly stepping up your investment posture as you're prioritizing turning volumes positive. And it's nice to see that in the platforms that you started investing earlier like refrigerated dough and Totino's and dog food. You're seeing that improved volume performance. The question is, though, taking refrigerated dough as an example, the improved volume, it is not outpacing the price decline. So even though refrigerated dough is a great example of the place where you've turned volumes positive, dollar sales really are still struggling at least in the Nielsen data we're looking at. And given the midpoint of your guidance calls for flat organic sales growth, I'm trying to get a sense for what's giving you the confidence that in these -- as you roll out these investments more fully, you'll see a more favorable relationship between volume and price.
Jeffrey Harmening: Yes. So you're right, Max. The fact that our volumes have increased ahead and our volume shares have increased ahead of our dollar share is certainly true, and it's something that we expected and something that we had modeled. In fact, the modeling that we did has turned out to be very, very accurate to what has actually transpired. But the modeling doesn't always -- didn't just end with how you invest in price. The -- what we would expect is that over the course of the first half of this coming year that our volume shares will outpace our dollar shares for the very reasons that you talked about. That's why, though, it's so important that as we get into the second half of the year, particularly the fourth quarter, but starting in the second half of the year, that we keep our marketing investment up, that we've improved our new product profile. Our new products are up 25%. That would be our expectation in North America Retail and 30% overall as a company. And why we have more core news because once we lap the pricing, our assumption is that our dollar shares would then begin to grow. And that really happens when you get your investments in the right zone on value. But then when you add on top of that, really good marketing, which we have. And so the first half of the year, we would expect that our volume growth will outpace our value growth, our sales growth and -- but then, that will start to reverse as we continue to invest in new product marketing and great advertising and core business news.
Max Andrew Gumport: Great. And your guidance, it is clearly embedding a pretty big step-up in investment spend in FY '26. And it feels like a portion of that is around the national expansion into Fresh Pet Food. Is there's any way you could quantify just how much investment is going behind that national expansion into Fresh Pet Food? And I'll leave it there.
Jeffrey Harmening: It's a fair question, but we're going to pass on that for now. Just know that it's another test market. It's a national launch, and we fully intend to make pet parents aware of this launch with our marketing investment. We're going to spend the money required to get the trial because we know the repeat is going to be really good. And so we're not going to give a number on that, but just know that it's important to get the trial. And that really comes with good marketing, but significant levels of marketing investment.
Operator: Our last question today will come from Q - Michael Lavery from Piper Sandler.
Michael Lavery: Two quick ones. Maybe just following up on the launch spending comment. Can you give a sense of how you evaluate and balance organic innovation versus acquiring a Fresh Pet business? And obviously, the consideration set is extremely limited to acquire. But how do you just think about which is the better way to go? Or what drove you to come back after a test a couple of years ago to launch now?
Jeffrey Harmening: Yes. The -- look, in general, the ways to grow your own brands organically, to buy -- and to grow through M&A, which we've also done successfully or use equities that other people have, to enter categories that we have with -- and cereal, for example, on the -- for protein. And we've done all 3 of those things effectively. And so as we think about what profile it will take, we ask ourselves, do we have the right to win to do this organically? And with Blue Buffalo, the answer is a resounding yes. We found that out during the first phase of the trial. The second is, do we have the capabilities in order to win? And we've been doing refrigerated products since like the beginning of time, I think since the '50s. And so this idea of getting refrigerated, we know how to run a refrigerated network. And so we certainly know how to do that. And then we look at the investment profile and do we think we have the investment profile to be able to enter a category successfully. And in this case, we think we do. And so we -- that's what we evaluate as we look at all of our growth opportunities. We'd like to be able to grow organically. That's the most important thing for us to do, but we're really pleased that we think we have an offering in this case that will be significant, that will be innovative, that ties really well with the Blue equity. But in other areas, you've seen us do M&A over time because we felt like we needed to enter a category like we did with Blue Buffalo originally and thrilled that we did that.
Michael Lavery: That's helpful. And can I just come back to one other comment you said about hoping for improvement across the board? Where does salty snacks fit into that? It didn't really get much mentioned. I know it's a smaller piece of the portfolio, but is that just more challenged because of a discretionary component or some reason that it isn't maybe getting some of the same investments? Or how does that just fit into your thinking and strategy for the year?
Dana McNabb: Yes. So thanks for the question. What I would say for snacks broadly overall in a tough economic environment, we see that it's a bit more of a discretionary spend. And so our categories and our businesses have had a tougher time this year. And the onus us is really to do what Jeff talked about, which is to get our value proposition right across all our snacks portfolio and then make sure that we have the best marketing new products and news to make sure that we're worth it for the consumers to buy. From a salty snack standpoint, it didn't have a great year this year because we just had undersized participation in some of the largest growth trends. So what's working in salty snacks right now is really bold flavors, having the right value sizes and then, of course, making sure that you use that news to ground merchandising and display. And I think we're all really excited about the salty plans that are coming this year. We renovated 3 of our top flavors, significantly increasing flavor intensity. We have spicy innovation coming, think spicy dill and Chex mix and hot-and-spicy Chex mix, and we've got a partnership with TABASCO and Bugles. We've got value coming in tubs for Chex. So we just got really good salty innovation. And I think you'll see our performance improve significantly in the upcoming fiscal year.
Jeff Siemon: Okay. I think we're going to go ahead and wrap there. Appreciate the time and attention. And as always, we'll be available for follow-up calls today. Julienne, I'll pass it back to you.
Operator: This concludes today's conference call. You may now disconnect.